Operator: Greetings and welcome to the Inter Parfums Inc. First Quarter 2013 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Russell Greenberg for Inter Parfums Inc. Thank you, Mr. Greenberg, you may now begin.
Russell Greenberg: Thank you, operator. Good morning, and welcome to our 2013 First Quarter Conference Call. Following the financial review, I will turn the call over to Jean Madar, our Chairman and CEO, for a business overview and then we will move on to your questions. Before proceeding further, I want to remind listeners that this conference call may contain forward-looking statements, which involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from projected results. These factors include, but are not limited to, the risks and uncertainties discussed under the headings Forward-looking Statements and Risk Factors in our Annual Report on Form 10-K and the reports we file from time to time with the Securities and Exchange Commission. We do not intend to and undertake no duty to update the information discussed. In addition, Regulation G codifications for the use of non-GAAP financial measures, prescribes the conditions for use of non-GAAP financial information in public disclosures. We believe that the presentation of the non-GAAP financial information included in this presentation is important supplemental measures of operating performance to investors. The information required to be disclosed for the presentation of non-GAAP financial measures is disclosed in our Annual Report on Form 10-K, as well as our quarterly report on Form 10-Q, which has been filed with the Securities and Exchange Commission. This information is available on our website at www.interparfumsinc.com. Once again, when we refer to our European-based operations, we are primarily talking about sales of Prestige Fragrances conducted through our 73% owned French subsidiary, Inter Parfums SA. When we discuss our United States operations, we are primarily referring to sales of Prestige and specialty retail products as well as travel amenities, all conducted through our wholly-owned, domestic subsidiaries. Moving on to our record first quarter. As we reported yesterday, net sales increased 29.3% to $213.8 million from $165.4 million. At comparable foreign currency exchange rates, net sales increased 29.4%. European-based operations generated sales of $195.1 million, up 34.4% from $145.2 million. Sales by U.S.-based operations were $18.7 million, down 7.6% from $20.2 million. Gross margin was 63% compared to 64.5%. SG&A expense as a percentage of sales was 31.7% compared to 45.3% in 2012. Operating margin was 31.3% of net sales as compared to 19.2% and net income attributable to Inter Parfums Inc. increased 105% to $31.7 million compared to $15.5 million. Basic and diluted earnings per share was 102% to $1.03 compared to $0.51. We've amply covered first quarter sales drivers so I will now focus on the dynamics impacting our profitability during the period. Gross margin came in at 63%, a decline of 150 basis points versus the first quarter of 2012, primarily as a result of rebates granted to certain customers as part of our planned effort to reduce inventory. SG&A expense declined both in dollars and as a percentage of net sales. This was largely due to a significant reduction in promotion and advertising costs included in SG&A expense. Promotion and advertising totaled $14.7 million or 6.7% of net sales in the first quarter of 2013, that's down from $26.7 million or 16.2% of net sales in the prior period. Advertising expenditures are generally concentrated in the second half of the year. In 2013, the reduced advertising requirement in our Burberry transition agreement, combined with a 29% increase in net sales resulted in a significantly lower ad spending in total dollars and as a percentage of sales. As we build our business in this new post-Burberry era, we are investing in our ongoing brands and we anticipate higher promotional expense in succeeding quarters of 2013. This substantial decrease in operating expense in the first quarter, coupled with the strong performance of our ongoing brands such as Jimmy Choo, Lanvin and Montblanc, and combined with the exceptionally high-level of Burberry sales in the period, produced significant operating leverage. That resulted in the surge of operating income and margins, which made their way to our bottom line. We generated cash flow from operations of nearly $20 million during the first quarter and closed the period with cash and cash equivalents and short-term investments of approximately $313 million. Working capital totaled $397 million, representing a working capital ratio of 27:1. We continue to have no long-term debt and are extremely well-positioned to pursue a variety of growth initiatives. With respect to our 2013 outlook, as discussed in our press release, we raised our expectations for net income attributable to Inter Parfums Inc. to a range of $1.10 to $1.12 per diluted share from $1 to $1.02 per diluted share. For now, our net sales guidance, which we raised in April, remains at approximately $510 million. As we gain more visibility as the year progresses, we will review and update our guidance as appropriate. And as always, our outlook assumes that the dollar remains at current exchange levels. Jean, please continue.
Jean Madar: Thank you, Russ, and good morning, everyone. Thank you for your participation on today's conference call. Our fiscal year was quite an extraordinary start to the year for the reasons Russ highlighted. For me, I'm even more excited about where we are going as a company. Our core business is a very good one. Excluding Burberry sales from both the current and prior year first quarter, European-based product sales increased 15%, thanks to both new product launches and recurring sales of our greatest hits like Lanvin in product sales, Jimmy Choo Signature Scents and Montblanc Legend. We have a great lineup of new product launches in the West including this new scent from Van Cleef & Arpels, called Reef, the signature fragrance from Repetto and our first woman's fragrance from Boucheron. We also have new scents for Paul Smith and hopefully, we'll be able to squeeze in our first major initiative for Balmain before the year is over. Overall, we expect 2013 to be one of the busiest years from new product launches in our history. Our U.S. operation also has strength to bring a number of new products to market during the year, such as Anna Sui's La Vie de Boheme. Anna Sui is an American designer of Chinese descent, is a major brand in Asia. Expanding the geographic footprint of the brand is part of our strategy. So you will appreciate how pleased we are to involve this Anna Sui fragrance on our shelves that fit for us all throughout the U.S. Refreshing this distinct product and packaging is also part of the business plan. For example, with our help, Banana Republic has relaunched it's classic W&M fragrances with 3 consecutive new packaging in that campaign. We updated W&M scents. We're introducing U.S. stores in February and are now becoming available internationally. While bebe desire, which we introduced earlier this year was fragrance for 2012, we shouldn't win [ph], we will be bringing an entire renewed bebe fragrance family to market later this year. In April, we took over production and distribution of the existing fragrance collection for Alfred Dunhill, our newest fragrance license. Alfred Dunhill is a premier global brand with roots in British tradition that has a fragrance legacy dating back many decades. The scenario is one we know well. We will work with brand owner Richemont to revitalize their Scent and [ph] Fragrance business. I think we can all agree that we know quite a bit of that revitalizing and growing luxury British fragrance lines. Our financial position on corporate infrastructure are more than sufficient to support this significantly larger company that we envision. Our planned course for growing our existing brands and adding new names by way of license, partnerships or outright acquisitions, which are being pursued fruitfully and without urgency. Our track record, our deep pockets and the trend amounts of beauty gems [ph] to focus on their major brands work in our favor. Speaking for myself on [French] the company's 2 largest shareholder, we have never been more enthusiastic about our company's future prospects than now. Before turning the call over for questions, I would like to point out that slides that we are presenting at the RILEY Investor Conference in Santa Monica on May 21, the Citi Global Consumer Conference in New York on May 30 and the Chrysler [ph] Consumer Conference also in New York on June 13. That ends our prepared remarks. So, operator, we can open the floor for questions.
Operator: [Operator Instructions] Our first question comes from the line of Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: First question, let me start with the obvious, the guidance. So you beat the first quarter by $0.40 or so and you raised the full year by $0.10, are you really going to reinvest $0.30 in promotion for the rest of this year and if that's the case, why no increase in the sales guidance or are you assuming no return on that $0.30?
Russell Greenberg: What we are -- I think you're looking at it slightly in a little bit of a wrong way. First quarter, typically and historically, has always been a period where profitability, where margins are a little bit higher than that of the rest of the year. What we're trying to do here is really see and understand the effects of our business on a go forward basis in a post-Burberry era. And unless and until we have a little bit more visibility with respect to not only our own distributors but also the retailers themselves on exactly how much money we need to put behind the promotion and advertising of the brands, we want to take a relatively cautious posture. Let time pass. Let's see what happens over time and we'll adjust our -- not only our advertising budgets, but we will adjust guidance as we see and as the periods develop.
Jean Madar: I would like say that we have revised our guidance twice in the last 90 days.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Secondly, can you walk us through the major changes in cash in the unwinding of the Burberry license. It looks like you've got income taxes payable of about $90 million. I think that gets paid in 2Q and then how much Burberry working capital do you still have at the end of 1Q?
Russell Greenberg: Well, at the end of the first quarter, you'll probably have -- the biggest number is really in the receivables and the taxes. You're correct. The taxes, the $60 million, $70 million will be paid in -- actually was paid April 15, even France [indiscernible]. That was in fact paid, as I said, on April 15. At the end of the year, since you can generally assume we have approximately a 90-day AR turn. So you're dealing with somewhere around EUR 80 million maybe, which translates to almost $100 million of Burberry receivables that will be collected over the next 90 days. With respect to payables, I would imagine that number is significantly lower than the receivable number. So net net, I think the payment of the taxes, the collection of the receivables and the payment of the payables will probably net us to be a little bit positive but pretty close to even.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Just one last one if I could. The rebates that you alluded to earlier, Russ, which brands was that? Was that just Burberry or other brands as well that you're trying to reduce inventory?
Russell Greenberg: Predominantly, Burberry.
Operator: Our next question comes from the line of Linda Bolton-Weiser with B. Riley.
Linda Bolton-Weiser - B. Riley Caris, Research Division: I just wanted to kind of better understand a little bit, trying to estimate the SG&A and the deleverage that will occur going forward now that we won't have Burberry sales in there. And so when I'm talking about the SG&A, I mean SG&A excluding advertising and promo and excluding royalties. So that number was $35 million in the first quarter if I have my numbers right. So going forward, in the past, it looks pretty even across the quarters, maybe a little higher in the fourth quarter. So is that how we can calculate it going forward, like kind of assume it's around $35 million or are you going to try to cut costs and have it be a little lower than that in the next 3 quarters?
Russell Greenberg: I think the number will be slightly lower than historic numbers. But we are not taking an aggressive posture with respect to personnel. As you know, Inter Parfums pretty much operates its business with just a little over 300 employees worldwide. In addition, we are also gearing up for the new licenses that are just taking effect. Alfred Dunhill here in the United States, Karl Lagerfeld in Paris in addition to Repetto and Balmain and pass [ph]. So certain personnel is going to be needed for that. So it's very difficult to say. We're going to evaluate it as time goes on but suffice it to say, we are not looking to slash costs and cut space and so on and so forth. Some of those expenses are additionally variable, so that will help us from the standpoint of not having too much deleverage, if you will. But I think it's going to be pretty close, probably slightly less than what you've seen historically.
Linda Bolton-Weiser - B. Riley Caris, Research Division: Can you tell us how much of that $35 million a year is variable versus fixed?
Russell Greenberg: I'm not prepared to disclose that. We're not prepared to disclose that.
Operator: [Operator Instructions] Our next question comes from the line of David Cohen with Midwood.
David E. Cohen - Midwood Capital Management, LLC: Just looking at the implied profitability of the last 3 quarters of the year, which is if you just do a simple math, takes you to $0.07 and $0.09. You work your way back up the P&L. It looks to be a $300 million revenue base in the last 9 months with operating margins of around 2%. So I'm just trying to understand sort of the degree to which there are -- and I presume, that gross margin isn't necessarily going to change that much on these remaining brands. I'm just trying to understand your SG&A structure, what is changing there, that eats into your profitability in the last 9 months compared to what the company has looked like historically, if you could elaborate on that?
Russell Greenberg: I think the question is very similar to that of -- that Joe asked earlier on. What -- our advertising and promotional expenditures are historically concentrated in the second half of the year. Most of the launches, even for the existing brands that remain -- the brands that -- the ongoing brands that we have, that achieved European operations over 15% growth rate. There was relatively little advertising expenditures on those brands and on the launches of those brands in the first quarter. That will catch up to itself as the year goes on and as I mentioned, we really want to see how the sales are going to come through. We want to see the reactions from our distributors and retailers with respect to the amount of space that were allocated and so on and so forth. So until we have a little bit more visibility, we would rather err on the side of being conservative.
Unknown Analyst: And just to understand, going into -- when you first started giving guidance on 2013 or at least when the New Year came and you were at I think, $480 million of top line and $90 million to $92 million of EPS, how much different has it -- well, I guess the implied question is how did that last 9 months look like compared to when you were first giving guidance. Like, is all the delta versus those first guidance numbers as a result of the Burberry outperformance in the first quarter?
Russell Greenberg: I think that the growth rate that we've seen in the first quarter and that we're expecting for the rest of the year is consistent with what we saw or what we were expecting when the initial guidance was given back in November of 2012. Here, what we're really doing is we're using a little bit of an opportunity because if -- there's not a lot of visibility here for us and we really -- we think that the business generated significant profits here in the first quarter and we're concerned. We want to be sure with respect to the remainder of the year. We want to be able to adjust our ad spending in connection with the growth rates that we see in our sales. So we're really looking to wait for a little bit more visibility. I don't know how else to say it, Jean.
Jean Madar: No, no, I agree that what we said in our press release, we will review and the date, the guidance, not now, but at the end of June, when we confirm the sales that we have and most of it was a good month, May is also good so we're comfortable -- we are very comfortable with the latest guidance but again, we cannot change our guidance every month. It doesn't work like that.
David E. Cohen - Midwood Capital Management, LLC: No, I wasn't suggesting that at all. Iterations of the guidance, I'm just trying how it's -- what is involved in your thinking, I think Russ has answered and explained that.
Operator: [Operator Instructions] Our next question comes from the line of Linda Bolton-Weiser with B. Riley.
Linda Bolton-Weiser - B. Riley Caris, Research Division: I just wanted to revisit the advertising promo expense issue again because you're clearly saying you want to spend heavily to support your remaining brands. So if I go back in history and look at your highest advertising and promo ratio of the years, I mean it was really high in 2011, it was 20.8%. So is it fair to say that it could be that high for the year 2013? I wouldn't think it would be higher than that but is --
Russell Greenberg: No, I do not think it would be higher than that but keep in mind, we are at 6.7% here in the first quarter.
Jean Madar: It cannot be that higher.
Russell Greenberg: Yes, if you compare it to last year's first quarter, last year's first quarter was 16%. 2011 that's -- the last half of 2011 was an exceptional number because of relaunch of Burberry Body. That was an ad campaign that was pretty much unprecedented but when you look at historic norms, anywhere between 16% and 18% is where we end up for the full year and in this particular year, 2013, that is going to be skewed towards the end of the year and this is one of the reasons why the implied guidance on earnings for the remainder of the year is a little bit lower than some people might expect. And as we said, we will review it, we will relook at it as we have more visibility as the year progresses.
Operator: There are no further questions at this time. I'd like to turn the floor back over to management for any closing comments you may have.
Russell Greenberg: Thank you, operator. And again, thank you, all, for your participation on this conference call. Whether you are live on the call or listening via our webcast. As always, if anyone has additional questions, I will always try to make myself available by phone. Thank you very much for joining us and have a great day.
Operator: Ladies and gentlemen, this does conclude today's conference. You may disconnect your lines at this time, and we thank you all for your participation. Good day.